Operator: Good afternoon. My name is Jacky, and I will be your conference operator today. At this time, I would like to welcome everyone to the Glatfelter's Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you.
 John Jacunski, you may begin your conference. 
John Jacunski: Thank you, Jacky. Good afternoon, and welcome to Glatfelter's 2012 Third Quarter Earnings Call. This is John Jacunski, I'm the Company's CFO. Before we begin our presentation, I have a few standard reminders. During our call this afternoon, we will use the term adjusted earnings, as well as other non-GAAP financial measures. The reconciliation of these financial measures to our GAAP based results is included in today's earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2011 Form 10-K filed with the SEC and available on our website discloses factors that could cause our actual results to differ materially from these forward-looking statements. These forward-looking statements speak only as of today and we undertake no obligation to update them. And finally, we have made available a slide presentation to accompany our comments on today’s call. You may access the slides on our website or through the webcast provider.
 I will now turn the call over to Dante Parrini, our Chairman and Chief Executive Officer. 
Dante C. Parrini: Thanks, John. Before I get started I want to express our appreciation for the flexibility extended to us for rescheduling today’s call and to also let those coping with the after affects of Hurricane Sandy to know that our thoughts are with them.
 Earlier this morning, we issued our third quarter earnings, which are summarized on Slide 3 of today's presentation. Our adjusted earnings for the third quarter were $0.44 per share. This is an increase of 57% over the third quarter last year, driven by a diversified business model and leading market positions.
 Consolidated net sales were $404 million for the third quarter and on a constant currency basis increased slightly compare to last year. Specialty Papers was a significant contributor to this increase, as its operating income increased by over $4 million, or 26%, due to improved shipping volume and wider margins associated with lower input costs and continuous improvement initiatives.
 Composite Fibers and the Advanced Airlaid Materials businesses performed well, particularly considering the headwinds presented by weak economic conditions and the unfavorable impact from foreign currencies. We were able to mitigate these factors as operating income for both of these businesses increased for Q3 compared to last year, particularly in the Advanced Airlaid Materials business, where operating income increased over 10%.
 Because the markets in Europe continue to be impacted by the weak overall economic climate, Composite Fiber shipments declined 2%, as customers continue to aggressively manage inventories. Our customer relationship remains strong including those with major tea and coffee producers.
 Our Airlaid business shipments were down 1% in the comparison, in part reflecting lower feminine hygiene volumes that we were able to partially offset by growth in our Specialty Wipes products in North America. Our consolidated results also included $0.06 per share benefit from debt refinancing and share repurchases that we completed based on the strength of our balance sheet and cash flow profile.
 Slide 4 illustrates the positive trajectory of our earnings growth. We have a solid track record of delivering EPS growth with a five year compound annual growth rate of 30% and we have been able to continue this track record in 2012 with our trailing 12 month adjusted EPS, as of September 30, also up 30%.
 Slide 5 provides more details on our cash flow. Our strong cash flow profile continues in 2012. This consistent performance over the last four years has allowed us to make investments to grow our business, pay a competitive dividend and repurchase shares while maintaining our financial flexibility.
 Slide 6 presents our ROIC results. Over the last several years, our improved earnings consistent cash flow and disciplined use of capital have significantly improved our return on capital, which is 9.9% for the trailing 12 month period. This is well in excess of our weighted average cost of capital which is about 8.2%. Over this time horizon, we have nearly tripled our return on capital, and are now creating real and sustainable shareholder value.
 Overall, I’m pleased with our results this quarter, as well for the year. I believe we are well positioned to deliver another strong year for our shareholders and I’ll provide additional commentary on our outlook after John gives a more in-depth review of the third quarter. John? 
John Jacunski: Thank you, Dante. For the third quarter, we reported adjusted earnings of $19.4 million or $0.44 per share, compared to $12.8 million or $0.28 per share, after adjusting to exclude gains on land sales and the impact of the conversion of alternative fuel mixture to Cellulosic biofuel credits.
 Slide 7 shows a bridge of our earnings from last quarter to this quarter. Strong results from Specialty Papers increased earnings per share by $0.07. Our continuing progress with our Advanced Airlaid Materials business increased earnings by $0.01 and the debt refinancing we completed in late 2011, as well as our share purchase programs increased earnings by $0.06.
 Turning to slide 8, we see our Specialty Papers results. For the third quarter this year, net sales increased 3.2% driven in large part by shipments that increased 2.5%. This 2.5% increase in shipments well outperformed the broader uncoated free sheet market which was down 4.8%.
 Shipments of book publishing and carbonless products were down as expected. We saw increased shipments in our forms, envelope and engineered products with the continuing growth in our engineered products driven by a wide range of products including high speed inkjet, packaging and postal applications and industrial products.
 As we have consistently done over the last several years, our flexible operating platform, operational excellence and new product and new business development capabilities have allowed us to keep our facilities running at or near capacity. From an operating profit perspective as Dante said, operating profit increased by 26% to $21.4 million for the quarter. Selling prices and higher shipments increased operating profit by $2.6 million.
 Input cost declined approximately $3.5 million, largely driven by lower purchase pulp prices. The only negative in the quarter was the net margin from our sales of electricities and renewable energy credits, hurt earnings by $1 million due to lower prices for both those items.
 Turning to Slide 9, you see our results for Composite Fibers. Net sales for Composite Fibers declined by 11% during the quarter, driven largely by changes in foreign currency. On a constant currency basis, net sales were down 4% and volumes declined 2%. This was driven by the generally weak European economy, which showed softer markets in these segments and is driving customers to aggressively manage inventory levels.
 From an operating profit perspective, despite the headwinds from foreign currency which reduced earnings in the quarter by $1 million, we were able to increase operating profit by $200,000 to $10.3 million. Selling prices and volumes declined earnings by $700,000. This was more than offset by lower input cost which improved results by $1.8 million, largely driven by purchased pulp and energy prices.
 Also I would make a few comments about capacity expansion project, as well as the fire we add in our facility in France in October. Our detailed plans for our capacity expansion project have now been completed and our machine upgrade to expand our inclined work capacity is progressing and we are planning to take the machine down in the middle of first quarter of 2013 with a startup around the middle of May.
 We expect the cost related to this project to negatively impact earnings by $0.02 to $0.03 in each of the first quarter and the second quarter of next year. With respect to the fire, as I mentioned we had fire in our facility in France on October 14. The fire started in a transformer and we are still trying to determine the root cause. The fire destroyed electrical equipment as well as cabling, primarily serving paper machine three of facility, but it also left a significant amount of soot throughout the operation.
 Our work is progressing as expected and we are now well into to the cleanup. We've also ordered electrical and other equipment that is necessary to restart the facility. When we issued our release a few weeks ago, we expected to restart paper machine four in three to four weeks, and paper machine three in six weeks to eight weeks and we are tracking to this timeline.
 We have been shipping products from inventory after completing product quality tests and product trials are underway of machines in our other facilities. So we expect to be able to meet all customer demands while these machines are down. The total impact of the fire is estimated as $4 million to $6 million. We expect the event will be fully covered by insurance subject, to deductible of $500,000. While we expect most of the cost to be incurred in the fourth quarter, the timing of the recording of the insurance recovery may not well happen during the fourth quarter, so it could impact our fourth quarter results beyond the deductible.
 Moving to slide 10, we see our results for the Advanced Airlaid Materials business. Again this business was also impacted significantly by foreign currency translation with net sales declining 8% overall but down only 1.5% on a constant currency basis. Shipping volume was down slightly with declines in feminine hygiene products in Europe, largely offset by increased shipments of Specialty Wipes.
 From an operating income perspective, operating income improved by 12% to $4.6 million during the quarter. We saw lower selling prices but I’d like to remind you that approximately 80% of our revenue in this business is subject to raw material cost test arrangements.
 Raw material and energy cost declined approximately $2.7 million, primarily related to flat pulp prices. Our selling prices declined to a lesser extent by $1.1 million with select price increases somewhat offsetting the pass through and as shown on the slide, foreign currency translation negatively impacted results by $1.3million. Our operating margins and EBIDTA margins improved during the quarter with EBITDA margins at 11%, this is the best we've achieved since our acquisition in 2010.
 Turning to Slide 11, we see a number of other financial highlights. Pension expense for the quarter was $2.9 million, down from $4.1 million in the third quarter of 2011. Third quarter 2011 included a $2 million one-time settlement charge and our plans remain over funded. So, we have no cash contributions acquired in 2012 and we do not expect to have to make any for the foreseeable future. We did have one unusual item during the quarter. We completed the sale of 979 acres of timberlands, realizing a $1.5 million pre-tax gain. This item, as it has been our practice, has been excluded from adjusted earnings.
 Slide 12 outlines our free cash flow. Now, the third quarter was a strong quarter for free cash flow at $26 million, when we adjust for our Composite Fibers capacity expansion as well as the CBC and alternative fuel mixture credits.
 Our capital expenditures on a year-to-date basis are $45 million. This includes $11 million related to the Composite Fibers capacity expansion and we expect total capital expenditures for the year of $85 million with significant payments related to our expansion project to be made in the fourth quarter.
 Working capital was a significant drag on our cash flow in nine months of 2012. This is largely due to seasonality with our accounts receivable declining typically at the end of the year and then increasing in the first quarter. That has caused a use of cash of $26 million in the first nine months of this year.
 We also are rebuilding some inventory positions, where last year our inventories got low and it was creating some problems with us servicing customers. So, we’ve invested another $14 million in inventories to better serve those customers.
 Turn to slide 13, you see our balance sheet. Our balance sheet remains quite strong with $28 million of cash and net debt of a $191 million with our leverage at 1.1 times. We also have significant availability under our revolving credit facility of $326 million. So, we’re well positioned to continue to fund growth initiatives and strategic investments.
 After the close of the third quarter, we should complete a private placement offering of $250 million, of 5 3/8% senior notes due 2020. We used the proceeds from this offering to redeem our $200 million 7 1/8% notes due 2016. We redeemed them early so we expect to take a charge in the fourth quarter of approximately $5 million on an after tax basis related to that refinancing.
 That concludes my comments and I’ll turn the call back to Dante. 
Dante C. Parrini: Okay. Thank you, John. Before opening the call for questions, I have a few comments on our outlook which are summarized on slide 14. Global economic conditions will continue to present many challenges as we finish 2012, particularly in Europe and continues to result in soft running consistent demand in this region.
 A weaker euro relative to the dollar is negatively impacting our operating results and totaled $2.1 million in the third quarter. However over time we’ve performed very well under a variety of circumstances and we demonstrated this again during the third quarter of 2012. As I look to the fourth quarter, for Specialty Papers we expect a slight decline in shipping volumes compared to the third quarter of 2012, largely due to normal seasonality.
 We expect selling prices will drift lower during the quarter in some of our printing and writing grades, which is typical for this time of the year. Composite Fiber shipping volumes are expected to decline by approximately 5% on a sequential quarter basis reflecting the softer economic conditions and normal seasonality.
 Selling prices and input costs are expected to be generally in line with the third quarter. This business’s fourth quarter results are expected to be impacted by the fire sustained at our Scaer Facility in mid-October. As John discussed, we are aggressively taking actions necessary to minimize its impact and to ensure we continue to meet our customers’ needs either by shipping from stock or shifting production to other Glatfelter facilities. Our recovery plans remain on track.
 Shipping volume for the Advanced Airlaid Materials business unit are expected to be slightly lower than the third quarter of 2012. Selling prices and input costs are expected to be generally in-line with the third quarter.
 Our success has been and will continue to be driven by executing on key elements of our strategy, leveraging our well balanced and diversified product portfolio, leading market positions, and new product development capabilities, along with the expansion of customer relationships through superior service.
 In addition, our focus on operational excellence and continues improvement is expected to continue to drive meaningful financial benefits. Our strong balance sheet and cash flow profile positioned us to complete earlier this month a $250 million, eight year bond offering at a very attractive 5 3/8% rate, reducing our overall cost of capital.
 When combined with consistent flow generation, a strong balance sheet and initiatives such as our share repurchase programs, I believe we’re well positioned to continue to generate substantial value for our shareholders.
 In closing, I remain optimistic about Glatfelter’s future. Despite the economic challenges facing us today I feel very good about the numerous ways our business model can create sustainable value throughout all stages of the business cycle.
 Now I’ll open the call for questions. Jacky? 
Operator: [Operator Instructions] Your first question comes from the line of James Armstrong. 
James Armstrong: First, you know on Europe, are there any regions of strength or particular weakness in Europe? Also you mentioned inventory correction in a lot of places in Europe. Is most of the softness driven by inventory corrections or are you seeing demand declines as well? 
Dante C. Parrini: James, this is Dante. So generally speaking there is weakness across Europe, more pronounced perhaps in Western Europe and I would have seen it distributed pretty equally across our business units and the product categories. In terms of the softness, we attributed the vast majority of it to inventory corrections. Now, if I think about the 2008 - 2009 timeframe, which was to date worse than what we’ve experienced so far this year, we experienced a quarter or two of contraction from inventory management, working capital management and then we saw a rapid recovery to the pre-recession levels, and if I just look at food and beverage 2009 to 2010, we saw an 8% year-over-year improvement once we got on the other side of the downturn. So hopefully that helps you put things into perspective. 
James Armstrong: Absolutely, and then switching gears on the recent debt refinancing, what should we expect quarterly interest rates or quarterly interest expense to be going forward? 
John Jacunski: James, the interest expense overall will not change a whole lot will be a few hundred thousand dollars a quarter, in part because we upsized the offering to $250 million. So we took out a $200 million issue at 7 1/8%  and replaced it with $250 million at 5 3/8%. So there is a small impact to overall interest expense from the transaction. 
James Armstrong: Okay. And then that leads into, your net debt to EBITDA is now what lot of people would consider pretty low. How do you view capital allocation going forward? And if you don’t find any acquisitions that are accretive how would you give money back to shareholders? 
Dante C. Parrini: Yes James, this is Dante. I think, our pattern of behavior will be consistent with what you’ve seen over the last few years. So one is we want to make sure that we stick by our core value, being financially disciplined with how we manage shareholder’s money. Second, in this kind of environment, I think it’s prudent to be a little bit more conservative in terms of capital structure and how we approach managing the balance sheet.
 Then if you look at the uses of cash, we clearly have a preference for investing in the internal growth of our business, either to add capacity where capacity is needed by the market and where we believe we have support from our customers and have a return profile that meets our expectations or where we have opportunities to improve overall efficiency or cost reduction and have very short payback periods.
 You have also seen that we completed a $50 million share repurchase program not too long ago and our Board approved a second one this past spring, another $25 million that we have executed a little bit of, but that’s a bit more of an opportunistic program and it has a two year shelf life to it. We believe in paying dividend and we have a good yielding dividend and we want to maintain flexibility to take advantage of opportunities to further invest in the growth of Glatfelter, which could also include acquisitions, if we find the right target and it meets our financial and strategic hurdles. 
Operator: Your next question comes from the line Mark Wilde. 
Mark Wilde: My first question was any fallout from Sandy in Spring Grove? 
John Jacunski: I’m happy to report that both of our facilities made it through the storm largely without incident and nothing material. 
Mark Wilde: Okay. And Dante, can you talk a little bit about sort of what’s your thinking about in terms of growth beyond the expansion over in Gernsbach right now; just generally? 
Dante C. Parrini: Yes. As you may know, we have expanded and diversified our portfolio to the point now where two of our three business units are growing global specialty materials companies that have much more attractive underlying fundamentals, where markets are growing at rates of about 5% per year in a normal market environment. So, clearly we see opportunities to continue to invest and support the growth of both the Advanced Airlaid Materials business and the Composite Fibers business. To the extent that we entertain M&A opportunities, it would be most likely that we would look at targets that would help broaden and expand the capabilities of either the Composite Fibers business or the Advanced Airlaid Materials business and we also have some regions of the world where we may not be as fully represented and to the extent that we find opportunities that have the right risk-return proposition, where we could more fully participate in some of the development of these regions of the world, we would consider that as well. 
Mark Wilde: And just on those two Specialty businesses, because they really are becoming a bigger and bigger part of the total portfolio at the company. I know in Composite Fibers we’ve talked overtime about sort of the growth in use of teabag in end markets outside the Western Europe and North America and then there has also been a lot of talk about the amount of volume you flow into things like the K-Cup. So can you just talk in both coffee and teabags, what kind of growth rates you’re seeing over the last 12 to 18 months? 
John Jacunski: Sure, for tea, worldwide we’re seeing growth rates of about 3% and for single-serve coffee we’re seeing growth rates of about 12%. The development of the tea market has been supported recently through Central and Eastern European transition from loose to packed tea, better penetration in the Middle East and Africa and to a lesser extent, Asia and when I say Asia, meaning both China as well as the subcontinent India. So those are some comments on tea.
 In terms of single-serve coffee, it is clearly a western European and U.S. and Canada market, for the most part right now. Starting in Western Europe, close to a decade ago in the Benelux countries and of course you made reference to the form factor of choice right now, which appears to be the K-Cup, the Keurig machine in North America. We have been very pleased to help support a number of single-serve coffee customers execute their growth strategies both in Europe and in North America and we’re optimistic about the future outlook for both tea and coffee. 
Mark Wilde: And then if you are going to grow in Airlaid, would you see that as more likely, something you might do on an organic basis, where you go out and kind of build a facility, perhaps tied into some volume commitments from existing customers or is that a business that you might more likely grow through some sort of an acquisition. 
John Jacunski: Yes, I think one of the things that we find most appealing about our Advanced Airlaid Materials business and Composite Fibers is it provides more than one path towards sustainable growth and what I mean by that, is we’ve demonstrated that we can invest organically in growing, whether it’s the $7.6 million we invested in additional festooning capabilities in Canada not so long ago, that have added to the profitability and cash flow of the Gatineau facility over the last 12 months, or the rebuild of G10 in Gernsbach which will give us greater capacity to serve the global tea, single-serve coffee and some of the other Specialty Materials businesses. We like those types of opportunities.
 In the same regard, we think there are ways for us to continue to broaden and expand the scale and breadth of these businesses, which could range from something like a greenfield that could be tied to a key customer where we have greater certainty around volumes and it changes the risk profile in such a way that we get greater comfort making a substantial investment in a new region throughout the world. Or perhaps there may be some smaller or medium sized acquisitions that could be nice tuck-ins to either round out some technology offerings or to give us a stronger presence in a region of the world where we may be under represented. But to summarize, I feel like we have a lot of different arrows in the quiver when it comes to growing this businesses which should play well in our favor overtime. 
Mark Wilde: Okay. That's a helpful summary, Dante. John Jacunski couple of questions in Airlaid. You’re up to an 11% EBITDA margin now. Is 12.5% still like a target number for you? 
John Jacunski: Yes. I think in the near term that's the target. When we bought the business the margins were about that level. We talked about some of the issues we had in 2010 with input costs as well as foreign currency translation that created some headwinds in that business but we are building back towards that number and that's a good new term target for us. As we look at these businesses more broadly, we think Specialty businesses ought to have margins in the mid-teens and so we expect that over longer periods of time we will be able to continue to push up those margins. 
Mark Wilde: Okay. And is there a difference John? You mentioned in the quarter that you'd done, I think a less in fem hygiene and a little more than wipes. Is there a margin difference, as you swing between those businesses? 
John Jacunski: We’re talking about facility in Germany and facility in Canada. We’re also referencing two different product lines. I'm not going to get into the specific margins on these products but with some 80% of our volume in feminine hygiene, the margins in that product line tend to drive the P&L but we also have been able to increase our capacity utilization. That's helped to improve operating margins overall and impacts the profitability of all of our product lines. 
Mark Wilde: Okay. And with reference to Scaer, are you going to call out that number for us in the fourth quarter? 
John Jacunski: Yes. I think, we’ll try to give the specific impact of the fire as well as the insurance recoveries that we have had and what the net impact of the quarter is. 
Mark Wilde: Yes, because I would like to try to put out numbers that exclude the fire impact. Okay. That’s all I’ve got for right now. Good luck in the fourth quarter. 
Operator: Your next question comes from the line of Steven Chercover. 
Steven Chercover: It looks like you reduced your CapEx by about $10 million at least from the high-end. Is that something we should be adding to our 2013 estimate? 
John Jacunski: No, not necessarily. Some of that is related to some of the timing on the CFE capacity expansions. So our original estimate was $30 million to $35 million on the CFE capacity expansion. We’re estimating about $29 million and we also have foreign currency changes that -- you make investments that are based in euro and they now translate into to less U.S. dollars. So those are the two primary reasons why the estimates have come down. 
Steven Chercover: Okay. And then just to echo Mark Wilde’s question on the treatment of the fire and I suppose the financing as well. We prefer to go for an operating number and then have you call out the impact. So if that helps to form a consensus, then I guess that’s just a statement rather than a question. 
Operator: [Operator Instructions] You have a question from the line Stuart Benway. 
Stuart Benway: Yes. Your forms and envelopes business had held up quite well lately. Do you expect that to continue or to grow? And can you give us an example of what sort of categories that’s doing it to? 
Dante C. Parrini: Sure. So, yes we’ve done very well with our forms and envelope product lines for number of years now. So, if I look at envelop over five years we’ve grown our volumes at a compound annual growth rate of about 7% and forms at that or even higher. So, I think what we’re seeing here is the fact that we’re successfully able to put together a service proposition that allows our customers to manage their working capital more aggressively. We’ve got some proprietary inventory plans that allow them to make very fast turns on orders and provide a level of confidence for them when they are aggressively pursuing business out on the market.
 On the form side, we through time have forced very strong working relationships with the forms manufacturing community and have been able to engage them in conversations about the different types of products they use and finding a way that we could bundle a greater variety of products that fit our assets and where we can also create compelling proposition for our customers in both share in the economic advantage of scale economies. So, we would continue to expect that level of success and performance as we go forward. 
Stuart Benway: Okay. And then in Composite Fibers your volume was down 2.4%. Was that in one category or another or was it sort of broad based? 
John Jacunski: Stuart, that was largely in composite laminates and metalized products. 
Stuart Benway: Okay. Do you see that sort of continuing? 
John Jacunski: No. I’m sorry, I misspoke. That is largely in from composite laminates and the food and beverage largely from the coffee side as I think we mentioned in our slides. So the coffee is largely driven by inventory adjustments. On a year-to-date basis our volumes are up about 4%. On a year-over-year, so our trailing 12 month basis, our coffee shipments are up about 12%. So, the third quarter was impacted by some inventory reduction programs at our customers and that drove our food and beverage volumes down. 
Dante C. Parrini: Maybe I can offer couple of comments on composite laminates. One is that tends to be a product line that’s more sensitive to swings in the economy because it is used for things like furniture, flooring and whether its construction, do-it-yourself or renovation type projects. Also, as we complete the rebuild of the paper machine number 10 in Gernsbach, we will take capacity away from the low-end of the composite laminate segment and dedicate that new capacity toward food, beverage and technical specialty. So we will, by design reduce some of our exposure at composite laminates as we roll through 2013. 
Stuart Benway: Okay. And in Airlaid, I believe you primarily focused on the feminine care and wipes business. Do you have any plans or I guess may be longer term to get into other categories such as adult incontinence or table top? 
Dante C. Parrini: Yes. I want to get into too many specifics about particular strategies as it may apply toward end segments, but we do have products that are already being sold into this adult incontinence segment, the table top segment, the baby diaper segment and we believe we have got the right asset base, as well as the right R&D capabilities to continue to develop compelling product platforms to serve those different markets. 
Stuart Benway: And I’m not sure if I caught this exactly but you said you had 80% cost passthroughs. Was that in Composite Fibers or was that in Airlaid? 
Dante C. Parrini: That’s in the Airlaid business. 
Stuart Benway: Okay. So, do you see any impacts on, changes in flat pulp prices? 
Dante C. Parrini: Sure. Overall our raw materials during the third quarter; raw materials and energy cost declined by $2.7 million in the third quarter this year versus the third quarter last year. Much of that was passed through in the form of lower selling prices to customers. The overall impact of lower selling prices for this business was only 1.1 million. So it isn’t to the extent of what the pass through would lead you to believe, in part because we had some price increases along the lines that help to offset some of the pricing decline from the pass through. 
Stuart Benway: And you stated $5 million of CapEx this year. Do you have any sort of idea for the next year, maybe at least directionally? 
Dante C. Parrini: Yes. I think with Composite Fibers capacity expansion that we have still ongoing about $20 million yet to spend. We would expect that our capital spending will be sort of in-line with that number. 
Stuart Benway: And just one last one, on the stock buybacks; so I guess that’s going to be primarily an opportunistic things rather than regular? So if the stock keeps rising if, you won’t be doing that much of it. 
John Jacunski: Correct. We’ve already completed a $50 million share repurchase program in January of 2012. The second one, the additional $25 million was authorized in May. It’s got a 24 month shelf life and at the time it was approved by our Board, the share price was substantially lower than where it is today. So it’s available to us as a tool and I think we will view it as slightly more opportunistically then we did the first $50 million authorization. 
Operator: Your next question comes from the lien of Mark Wilde. 
Mark Wilde: Yes. Dante just a couple of quick clean ups. You mentioned I think flat to maybe slightly lower pricing in the Specialty Paper business in the fourth quarter. I was under the impression that there was a carbonless increase out there. Does your guidance assume any benefit from that carbonless increase? 
John Jacunski: We did have a carbonless increase earlier in the year, during the second quarter, end of first quarter, into the second quarter and so we worked our way through that and I talked about more of the white paper printing and writing grades, that we would typically see some softness in as the end of the year approaches and that was what the reference was made about. 
Mark Wilde: Okay. And then the other question I had is, on the land sale, it sounds like there may not have been much of a tax impact on that land sale. Is that correct? 
Dante C. Parrini: There is tax on that, although with the conversion of the alternative fuel mixture credits and the Cellulosic biofuel credits, it will allow us to use some of those credits more quickly against the income generated by the land sale. 
Mark Wilde: Okay. All right. And have you seen incrementally John, any pickup in interest around the real estate properties? 
John Jacunski: I would say with respect to Virginia and Delaware, the answer is largely no. Those markets are still very difficult and in Pennsylvania, we’ve had fair a bit of sales this year, but again I wouldn’t say, it’s a sort of broad based interest. It’s been more select interest. So there is a little bit more traffic, little bit more interest in the recreational side from Pennsylvania, but I wouldn’t say this is a broad based sort of land explosion in Pennsylvania either. 
Mark Wilde: Okay. And would it just be safe to assume on the land that properties in Virginia and Delaware might have a little more real estate potential versus, Pennsylvania stuff being more skewed to recreational? 
John Jacunski: Yes, that’s right. Our sales in Virginia and Delaware have largely been one or two types of approaches. One has been commercial or residential development; the other has been to conservation groups. So it’s not typically recreational and those markets, for the residential and commercial are pretty week in Delaware and Virginia. So it’s going to take us much more time I would suspect for those markets just to recover to a point that we think we’re getting appropriate value and given the condition of our balance sheet, we’re not in a hurry to run out and do a fire sale. 
Operator: I would now like to turn the conference over to Dante. 
Dante C. Parrini: Okay. Well, thank you again for joining us today. John and I really appreciate your questions and your interest in Glatfelter and we look forward to speaking with you again next quarter. Have a good day. 
Operator: This concludes today's conference call. You may now disconnect.